Operator: Good day, ladies and gentlemen, and welcome to the Jack Henry & Associates Second Quarter 2017 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, and instructions will be given at that time. As a reminder, this call is being recorded. I would now like to turn the call over to Kevin Williams. You may begin.
Kevin D. Williams - Jack Henry & Associates, Inc.: Thank you, Michelle. Good morning. Thank you for joining us today for the Jack Henry & Associates second quarter fiscal year 2017 earnings call. I am Kevin Williams, CFO, and on the call with me today is, David Foss, our President and CEO. The agenda for the call this morning, in a minute, I'll turn it over to Dave to provide some of his thoughts about the business, industry, and performance of the quarter. And then, I'll provide some additional thoughts and comments regarding the press release we put out yesterday after market closed, and I'll update guidance for FY 2017 and then, we will open the lines up for questions. I need to remind you the remarks or responses to questions concerning future expectations, events, objectives, strategies, trends, or results constitute forward-looking statements or deal with expectations about the future. Like any statement about the future, these are subject to a number of factors, which could cause actual results or events to differ materially from those which we anticipate due to a number of risks and uncertainties, and the company undertakes no obligation to update or revise these statements. For a summary of these risk factors and additional information, please refer to yesterday's press release, and the sections in our 10-K entitled Risk Factors and Forward-Looking Statements. I'll now turn the call over to, Dave.
David B. Foss - Jack Henry & Associates, Inc.: Thank you, Kevin. Good morning, everyone. We're pleased to report another strong operating quarter with record revenue and operating income. As in the past, I'd like to begin today by thanking our associates for all the hard work that went into producing those results for our second fiscal quarter. As we discussed in the previous call, we divested our Alogent division at the end of last fiscal year, and we still had Susquehanna in the mix through November. So the comparable quarter includes a slight headwind for revenue growth. Despite that headwind, total revenue increased 5% for the quarter, organic revenue growth was 7% for the quarter. In line with the guidance we have provided on previous calls, our payments businesses posted a 5% increase in revenue, excluding the impact of deconversion fees. Our outsourcing and cloud revenue growth for the quarter was 17%, and if you exclude the impact of deconversion fees from both quarters, we saw a very solid 13% increase. Our sales team saw a good success in the quarter with a few of the strategic solutions we've discussed in the past. They signed 11 new Hosted Network Services or HNS deals in the quarter, which is almost as many as they signed in all of FY 2016. Additionally, they signed 27 Banno Mobile contracts, and secured the first agreements for our new treasury management solution, and our new enterprise risk mitigation solution. As I mentioned in the press release, 2016 was our 40th anniversary year, and we hosted a number of events throughout the year to celebrate that milestone with our associates, customers, and partners. We cap that year of celebration with a bell-ringing event at NASDAQ in November. Thank you again, to all those who helped us celebrate this significant anniversary. With that, I'll turn it over to Kevin for some detail on the numbers.
Kevin D. Williams - Jack Henry & Associates, Inc.: Thanks, Dave. Support and Service line of revenue, which represents 97% of our total revenue for the quarter continues to drive our revenue growth. Our Support and Services breakdown for the quarter compared to the prior year was; our implementation services was $13.7 million for the quarter versus $15.9 million or a decrease of 13% for the quarter; electronic payments was $131.5 million versus $130.5 million, an increase of 1%, or as Dave mentioned, a 5% net of deconversion fees. Our OutLink or our outsource delivery model was $84.6 million versus $72.1 million, which is a 17% increase for the quarter, and again 13%, very strong growth net of deconversion fees. Our in-house maintenance was $83.8 million versus $83.4 million or just a slight increase, and then bundled services, which is the implementation, license and maintenance revenue combined with those bundled product was $23.8 million versus $18.4 million a year ago. As Dave pointed out, our total revenue grew 5% for the quarter, and close to 6%, if you were to back out deconversion fees of $8.5 million this quarter versus $10.4 million a year-ago quarter. Backing out the $8.2 million of Alogent revenue in last year's second quarter, along with the impact of these deconversion fees, our revenue from operations actually grew 8%, which is consistent with prior-year revenue growth. Also, the Banking segment, revenue grew 8%, but if you back out deconversion fees and Alogent revenue in last year's quarter in the Banking segment, revenue in that segment grew 11%. Credit Union segment was down 4% this year, however, if you back out the deconversion fees, revenue was up slightly, and this is compared to a very tough comp last year, when revenue in the Credit Union segment was up 28% in last year's quarter. Year-to-date Banking segment revenue is up a little over 10%, and backing out the impact of deconversion fees and Alogent, and Credit Union segment was up 2%, again a very tough comp last year, when the CU segment was up 25% for the first-half of FY 2016. Our growth in operating margins remained relatively level with prior year. The effective tax rate increased to 33.5% for the quarter from 29.9% last year. This increase was primarily due to the reinstatement of the R&E Credit in the second quarter of FY 2016, which included four quarters of the R&E Credit. Because of the change in the tax rate, our net income was down 1% to $58.8 million from $59.3 million a year ago, which led the EPS of $0.75 for the quarter. So look at true operations by backing out the impacts of Alogent, deconversion fees and the change in the tax rate, our net income would've increased 10% and EPS 12% for the quarter. EBITDA for the quarter increased to $124.0 million compared to $116.7 million last year. Included in the total amortization disclosed in the press release is amortization of intangibles from acquisitions, which was down to $3.6 million this year compared to $4.7 million last year. Free cash flow defined as operating cash flow less CapEx and less cap software, plus proceeds from sale of assets, was $94.2 million for the first six months or $1.20 per share compared to $62.1 million or $0.78 per share last year. We continue to provide a solid return to our shareholders through dividends of $21.9 million and stock buybacks of $61.3 million during the quarter. Year-to-date, we've deployed our capital by investing $70 million back in our company through CapEx and development products, and we've returned $147 million to shareholders through stock buybacks and dividends. Our return on equity for the trailing 12 months has been 26.8%. A little update on guidance, our revenue growth will continue to be slow in FY 2017 as we grow over the headwinds created by the disposition of Alogent, and the loss of two large customers during FY 2016 that we will grow over this year, remember, we lost another large customer in May of last year. For the March quarter, we have the $7.7 million of revenue that Alogent contributed last year that we left over. We anticipate revenue growth in the March quarter are roughly in line with the 4% to 4.5% we previously provided on the last earnings call. We anticipate the margins will be essentially flat with the same quarter a year ago, and the effective tax rate should approximately be the same as last year. We are comfortable with the EPS consensus estimate of $0.72 for the March quarter at this time. That concludes our opening comments, and we are now ready to take questions. Michelle, will you please open the call lines for questions?
Operator: Yeah. Our first question comes from Brett Huff of Stephens, Inc. Your line is open.
Brett Huff - Stephens, Inc.: Good morning, guys. Congrats on a nice quarter.
Kevin D. Williams - Jack Henry & Associates, Inc.: Good morning.
David B. Foss - Jack Henry & Associates, Inc.: Thank you.
Brett Huff - Stephens, Inc.: Quick question on the Banking segment. Obviously, really good performance there. Can you just sort of deconstruct that for us, and was there a particular driver, a big win, a go-live or anything like that, that drove that particularly strong performance?
Kevin D. Williams - Jack Henry & Associates, Inc.: Not really, Brett. I mean, a couple of things, I mean, one, obviously outsourcing continues to be extremely strong. It's 18% for the quarter in the Banking segment, which if you back out the deconversion fees, it is still 13% or 14%, and that's becoming a larger part of our business. Payments in the Banking side was up nicely, it was up 8% or 9% for the quarter, just good performance, just overall strong – and then, obviously, bundled services was up a little bit in the Banking segment. I mean, that just comes from the delivery of the final product in a bundled arrangement.
Brett Huff - Stephens, Inc.: Okay. That's helpful. And then, Dave, you mentioned that you – it sounds like you guys have been obviously working developmental wise on your cash management or your treasury management solution, you call that out in your Analyst Day. And it sounds like you're having deep enough conversations with folks that you're already starting to sign some contracts. Can you give us how those conversations are going, number one, and what it is that people are finding appealing about your offering? And then number two, can you just give us your thoughts about that market in particular, how you think it grows, what you think the competition looks like?
David B. Foss - Jack Henry & Associates, Inc.: Sure. We actually highlighted two different solutions at the Analyst Day. So we have a cash management solution and a treasury management solution. Our corporate cash management solution designed for mid-sized businesses, treasury management designed for larger businesses, pretty different as far as functionality and pricing model, and all that kind of stuff. We rolled out the cash management application last – six months ago or so. I think, we have 29 or 30 contracts signed there already on the cash management solution, again designed for mid-sized businesses. Treasury management is a big deal for us, because we started that from scratch, and we were trying to figure out how to address the needs of the larger customers out there, not just our core customers, but this will be a ProfitStars solution, so we can go, sell to any of the larger core customers, and there is – and what drove us to do that was a recognition in the – mid-tier banking space meaning $1 billion to $30 billion space that there weren't great solutions out there to be had, and there is a demand for that type of industry-leading kind of newer technology solution, so we started that initiative a couple of years ago. As I mentioned, we just signed our first customer. We won't go live for few months here, but we're getting some very good feedback, and lot of discussions going on around that product today, so I think there is definitely demand out there. There are several products out there in the treasury management space. Most of them have been around for quite a while, and that's where this demand is coming from, with banks focusing more intently on developing commercial customer relationships, particularly with the larger commercial customers. There is a demand for that solution.
Brett Huff - Stephens, Inc.: Okay. Great. And then, as you guys talk to banks, this is bigger picture question. As you talk to banks and Trump has been elected, and we're all – the banks are all hoping for some deregulation. What are you hearing from them on that front, kind of what's their temperature and have you seen them change their discussion topics with you or spending priorities with you as a result of that?
David B. Foss - Jack Henry & Associates, Inc.: The conversation has definitely been interesting lately, I don't know that we've seen any significant changes yet, as far as indications on spending, I will point out that, just yesterday, I got the latest Cornerstone Advisors' note, I forget the title, oh, What's Going on in Banking. And in that, they surveyed 301 bank and credit union executives in December, so it's new news, it's post-election, and they highlighted exactly what we've been hearing that the banks in particular, and credit unions for that matter perceiving an improving economy in 2017, rising interest rates, so I think everybody is tuned into, regulatory rollbacks are expected, how extreme or how deep those will go, nobody knows. I think, the focus of the conversation right now has been around bankers' desire for just some clarity, there's so much speculation, so much debate about what might happen, they're looking for some clarity right now. But generally, the feeling is pretty good about 2017, and what the impact of the new administration will have on banks in general.
Brett Huff - Stephens, Inc.: Great. That's all I need. Thanks, guys.
Kevin D. Williams - Jack Henry & Associates, Inc.: Thanks, Brett.
Operator: Our next question comes from Kartik Mehta of Northcoast Research. Your line is open.
Kartik Mehta - Northcoast Research Partners LLC: Hey. Good morning, Dave and Kevin.
Kevin D. Williams - Jack Henry & Associates, Inc.: Good morning.
Kartik Mehta - Northcoast Research Partners LLC: Yeah – just to maybe add on to what you were saying about 2017, and banks feeling better. Any thoughts on what that might mean in terms of consolidation or implication of consolidation, would you anticipate consolidation increasing or do you anticipate kind of staying where we are, the rate where we're going right now?
David B. Foss - Jack Henry & Associates, Inc.: Yeah, there's two sides of that coin, it's a good question, and it's one that we kind of debate a lot with different bankers out there, because on the one side, if there is a reduction in regulation and interest rates go up, it's – maybe more a fun to be a banker in 2017, and so you may see some bankers continue to stay, who maybe were thinking about selling. The other side of that coin is, bank stocks are up overall, and this idea that it's a good time to be in banking may drive more acquisition on the flipside of that, just because bank stocks are up, I'm looking to cash in, sell my bank and there are plenty of acquisitive mid-tier banks in particular out there. So I don't know that I expect any great change in 2017 on the M&A front. But it is an interesting time right now, because of this perception that it will be a better year to be in banking in 2017.
Kevin D. Williams - Jack Henry & Associates, Inc.: The other thing that will be interesting, Kartik is, depending on which regulations get eased, if it becomes less burdensome for a bank to break the $10 billion threshold, I mean, there's a lot of mid-tier banks out there that have held back because they didn't want to pass over that threshold unless they could jump way over it. So depending on the regulations that – it could change some of that, I think, thought process out there too.
Kartik Mehta - Northcoast Research Partners LLC: Kevin, as of now, what kind of impact has consolidation had on your revenue, and if you look over the last, maybe 10 years, is it about the same or is it less?
Kevin D. Williams - Jack Henry & Associates, Inc.: It's probably about the same, Kartik, I mean, our banks are buying just like other vendors are buying ours. We've gotten pretty good at winning some mergers, even though, we were not the incumbent from the acquirer, which – that has helped on – especially on some mid-tier deals. And then also, as we've gotten more and more of our FIs that are now outsourced, when they are the acquirers, that's a nice uptick in revenue where if an in-house customer buys another FI, we don't see much impact. So it's kind of been net neutral, I mean, obviously the two large ones we lost last year, so we felt both of those, but all-in-all, it's pretty much just business as usual.
David B. Foss - Jack Henry & Associates, Inc.: I think, Kartik, let me highlight one thing that Kevin said there, I don't recall that we've talked about this in the past, but he referenced winning a merger, we actually call win a merger, that's been a successful strategy for us, so you have an acquirer who's running somebody else's core, acquiring one of our banks and we get into the mix and convince the acquirer to convert to the acquiree's core system which is a Jack Henry core system. So that kind of helps us offset some of those potential losses when we can win a merger.
Kartik Mehta - Northcoast Research Partners LLC: And then just one last question. Kevin, just use of cash, obviously you don't have much debt on the balance sheet, but I think, in the past you've said, hey, acquisitions have been expensive, I don't know where you stand today in terms of acquisition versus buyback versus increasing dividend or just keeping the money on the balance sheet?
Kevin D. Williams - Jack Henry & Associates, Inc.: Well, I mean I always start with, we'd love to do an acquisition, we continue to look for them out there. I actually talked to a banker earlier this week, an investment banker, and he thinks that there's probably going to be some properties come out this year, so obviously we'll continue to look for those. We think that, that's the best way to get return for our shareholders to do the right acquisition. Barring that, we'll continue to look at the stock buybacks when it makes sense, we'll also look to continue increasing dividends, which I'm sure this will be a topic for our Board Meeting later this week.
Kartik Mehta - Northcoast Research Partners LLC: Thank you very much. I really appreciate it.
Kevin D. Williams - Jack Henry & Associates, Inc.: Yeah. Thanks, Kartik.
Operator: Our next question comes from Tim Willi of Wells Fargo. Your line is open.
Timothy Wayne Willi - Wells Fargo Securities LLC: Yeah. Thanks, and good morning. Two questions. First – and I apologize if you said this in opening comments, I jumped on it – I've been too late, but just any update around the network management solution? I know it's still probably relatively small part of the story, but I know it's had some pretty good traction initially, just any updates there?
David B. Foss - Jack Henry & Associates, Inc.: Yeah. I had actually talked about in my opening comments. We signed 11 in the quarter, which – and I compare that to all of FY 2016, so we signed almost as many in the quarter as we signed in all of FY 2016. So definitely some uptick there, and in fact, we signed two non-Jack Henry core customers, so like we've done with some other solutions, we start out inside the Jack Henry core base with the intent of delivering eventually as a ProfitStars solution, meaning we sell to any core customer, so we signed two non-Jack Henry cores in the quarter and nine Jack Henry cores in the quarter, we have 30 FIs live, so a combination of banks and credit unions, and what we're finding is, it's been really interesting. A lot of our customers will sign with part of their network infrastructure and kind of see how it goes and get used to the idea of outsourcing, then they'll come back and say, okay, now we want to add the rest, or you know we want to add another component. So a good traction on that front.
Timothy Wayne Willi - Wells Fargo Securities LLC: Great, thank you. And then, just another question, I know there was a question earlier about like, bank spending and product discussions. Could you talk about, I guess margin profiles within just broad sort of descriptions of your products? I know there are sort of regulatory-focused products, security, retail banking, something you might call growth orientated spending decisions. If bankers start to reallocate how they spend that IT dollar, is there potentially a margin shift, that would occur one way or the other based upon what they start buying over the next couple of years?
Kevin D. Williams - Jack Henry & Associates, Inc.: I don't know that you've seen most of the margin shift. I mean, one thing I'll say, I mean, I think that they're going to continue to spend more on digital and on mobile, which obviously there's some good margins there. One of the byproducts of ease in regulations is our R&D resources can be used to develop products that we can actually sell and make revenue rather than spending all the time, making sure we're compliant with new regulations. So that potentially drives some margin down the road, it won't immediately as we have additional products to sell. But I don't know that we'll see much of this, I mean, maybe a little as they move into different areas, but I just don't see – I don't think you'll see it in our financials.
Timothy Wayne Willi - Wells Fargo Securities LLC: Okay. And then just last one. Again, Dave, I apologize if this was made in your opening comments. I caught the tail-end of the discussion around payments. But I know you guys do your user group meetings, get a lot of feedback from your various groups you work with. Could you gauge or sort of – just sort of what the response to the payment strategies, the treasury management has looked like versus maybe other internal initiatives that were several years in the making? Is this more enthusiastic sort of in line with those other successes or is there something here that you sense maybe a stronger response than you'd seen with other types of situations like this?
David B. Foss - Jack Henry & Associates, Inc.: Well, depending on the product that we roll out, Tim, the buyer for the product we roll out can vary dramatically sometimes, right? So the buyer for a treasury management solution is very different from the buyer for a risk or HNS for example. So it's a little bit hard to kind of compare and contrast. But specific to treasury management, there is some real – 2017, treasury management's been around forever. I never imagined that I'd be sitting here talking about a newly-developed treasury management solution. But there is this angst or concern out there that most of the solutions have been around for quite a while, technology is a little aged, which means it's not making it – the technology they're running today isn't making it easier for the commercial business, and so our bankers in this day of – everything, everywhere, on every platform, our bankers are looking for solutions that they can put in the hands of their larger commercial customers that will make their life easier, the commercial customers' life easier and they believe just knowing what's going on in technology today, that there are opportunities to do that, that will help them solidify those commercial customer relationships and of course for banks that are in commercial lending and so on, that's a key part of their strategy. So I think, it's being driven around the fact that most of the solutions out there have been around for quite some time and people are just looking for something new and fresh that they can demonstrate to their commercial customers. They have the new – the new shiny object and something that will deliver them a lot more functionality than what they've had in the past.
Kevin D. Williams - Jack Henry & Associates, Inc.: No. I will say, Tim, that there is quite an excitement about our Banno offering.
Timothy Wayne Willi - Wells Fargo Securities LLC: For sure.
Kevin D. Williams - Jack Henry & Associates, Inc.: That there's a lot of excitement about that, and mobile's been around for a while. And so, to come out with this new solution and to see the excitement we've seen around that, has been very exciting.
David B. Foss - Jack Henry & Associates, Inc.: But the key on that is, that's a single platform. So as opposed to just being a mobile banking deliverable, it's a platform that will – that does – it includes marketing, it includes bill pay, it includes mobile check capture, I mean, it's a complete suite of solutions as opposed to a point solution that only does mobile banking. That's what's really creating the enthusiasm around Banno.
Timothy Wayne Willi - Wells Fargo Securities LLC: Sounds great. Thank you so much.
Kevin D. Williams - Jack Henry & Associates, Inc.: Thanks, Tim.
Operator: Our next question comes from Eric Ciura of R. W. Baird. Your line is open.
Eric Ciura - Robert W. Baird & Co., Inc.: Hey, guys. Nice job this quarter.
Kevin D. Williams - Jack Henry & Associates, Inc.: Thanks.
Eric Ciura - Robert W. Baird & Co., Inc.: First on payments revenue growth, now that we've kind of lapped the client loss of Susquehanna, can that start to accelerate again into the high-single-digits?
David B. Foss - Jack Henry & Associates, Inc.: I think, the guidance for first half, Susquehanna was a significant player for us across the board, not strictly in the payment side of our business. They were a major customer for us across the board. So if we specifically talk about payments, the guidance that I've provided in the past is somewhere in the 5% range, I think that's still a good number go-forward, Susquehanna wasn't that huge a contributor that it's going to all of a sudden bump our payments comp by 2% or something like that. So I still think 5%, in that range is a reasonable expectation.
Kevin D. Williams - Jack Henry & Associates, Inc.: And let me just point out, when we talked about Susquehanna, not only were they a good contributor of revenue, but we also had a huge early deconversion fee from them in this quarter last year, which is why we predicted deconversion fees will be down for the quarter. Susquehanna, their total revenue was less than 1%, which is spread across a lot of different revenue lines. So for them – to just losing them to see a significant uptick in payments, you're not going to see it, it was just kind of an overall drag on our revenue.
Eric Ciura - Robert W. Baird & Co., Inc.: Okay. Thanks. And then, secondly, in the Credit Union segment, term fees were down, but gross margins are actually up slightly year-over-year. So I guess, what was the driver of that?
Kevin D. Williams - Jack Henry & Associates, Inc.: There's couple of things, one very good cost control on that side, and very good – we got rid of some contractors, and did some different things over there, but then also probably one of the biggest things was our card pass through costs were significantly lower this quarter than were a year ago quarter, and that's the EMV cards that we passed through, which obviously we have very little margin on those, so that was one of the big drivers.
Eric Ciura - Robert W. Baird & Co., Inc.: Great. Thanks, guys.
Kevin D. Williams - Jack Henry & Associates, Inc.: Thanks, Eric.
Operator: Our next question comes from Glenn Greene of Oppenheimer. Your line is open.
Glenn Greene - Oppenheimer & Co., Inc.: Thanks. Good morning. I missed the beginning of the call, so I apologize for some of these questions. But Kevin, what did you say on the outlook in terms of revenue and earnings growth?
Kevin D. Williams - Jack Henry & Associates, Inc.: No change. Basically, Glenn, I mean, revenue is going to grow, because the headwinds of Alogent is going to grow 4% to 4.5% for Q3, and we're comfortable with the consensus estimate of $0.72 out there, right now.
Glenn Greene - Oppenheimer & Co., Inc.: Okay. And did you comment for the full year as well?
Kevin D. Williams - Jack Henry & Associates, Inc.: No.
Glenn Greene - Oppenheimer & Co., Inc.: Are you comfortable with the...
Kevin D. Williams - Jack Henry & Associates, Inc.: I don't see much change for the full year from what we saw back then.
Glenn Greene - Oppenheimer & Co., Inc.: Okay. And can you just give us an update on where you are from on [end-out] conversions year-to-date, and takeaway that's what you've done year-to-date in both and Banking and CU?
David B. Foss - Jack Henry & Associates, Inc.: I don't know that I have [end-outs] for the quarter, I know that we did seven year-to-date. I don't think I have that number, handy.
Kevin D. Williams - Jack Henry & Associates, Inc.: I got it.
David B. Foss - Jack Henry & Associates, Inc.: It's in my office.
Kevin D. Williams - Jack Henry & Associates, Inc.: 12 year-to-date.
Glenn Greene - Oppenheimer & Co., Inc.: To out?
Kevin D. Williams - Jack Henry & Associates, Inc.: . Yeah.
Glenn Greene - Oppenheimer & Co., Inc.: And what about competitively on the takeaways?
David B. Foss - Jack Henry & Associates, Inc.: Six in the quarter, 18, 19 year-to-date in competitive takeaways.
Glenn Greene - Oppenheimer & Co., Inc.: Okay. And then, on the deconversions, like, I guess, it was pretty small on the quarter for the term fees, but anything we should be thinking about or that you're aware of going forward in upcoming quarters? Any specific headwinds?
Kevin D. Williams - Jack Henry & Associates, Inc.: No. I mean, the biggest headwind, Glenn, is still the Alogent revenue that we had in the second half of last year that is not there this year. Then also the loss of CIT in May last year, we lost that revenue, and also the deconversion fees from that, that was in Q4.
Glenn Greene - Oppenheimer & Co., Inc.: But, nothing new beyond those two?
Kevin D. Williams - Jack Henry & Associates, Inc.: No.
Glenn Greene - Oppenheimer & Co., Inc.: Okay. Great. Thanks guys.
Kevin D. Williams - Jack Henry & Associates, Inc.: Thank you.
Operator: There are no further questions. I'd like to turn the call back over to Kevin Williams for any closing remarks.
Kevin D. Williams - Jack Henry & Associates, Inc.: Thanks, Michelle. First of all, I'd like to mention that our 2017 Analyst and Investor Day event will be held on May 8 at the Westin Property at the Denver, Colorado Airports, where we had last year, which makes it very easy for everyone to fly in and out. Presentations will be given by all the executives, our Division Presidents, those will be on Monday afternoon, like we did last year, followed by a reception and a mini check fair to highlight some of our products. Also in attendance, Jack Prim, our Executive Chairman of the Board, and potentially some of the Board members will also be there. So they will be there to visit with you. If you would like to attend, email, meet myself or Vance Sherard, and we will get a link to the registration site sent to you. I want to thank you for joining us today and to review our second quarter fiscal 2017 results. We're pleased with results from our ongoing operations and the efforts of all of our associates to take care of our customers. Our executives, managers and all of our associates continue to focus on what is best for our customers and shareholders. I want to thank you again for joining us today. And Michelle, will you please provide the replay number?
Operator: Thank you, ladies and gentlemen. For a replay of today's call, you may dial 1-800-585-8367; local, 404-537-3406, conference ID number 522. I apologize, conference ID number 58359189. Once again, that's conference ID number 58359819. Ladies and gentlemen, thank you for participating in today's conference. This does conclude the program, and you may all disconnect. Everyone, have a great day.